Operator: Greetings and welcome to the Gaming and Leisure Properties Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host for today’s call, Ms. Kara Smith from ICR. Ms. Smith, the floor is yours ma’am.
Kara Smith: Good morning. We would like to thank you for joining us today for Gaming and Leisure Properties third quarter 2015 earnings call and webcast. The press release distributed earlier this morning is available in the Investor Relations section on our website at www.glpropinc.com. On today's call, managements' prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward looking statements include those related to revenue, operating income, and financial guidance as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management's current estimates and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC and the definitions and reconciliations of non-GAAP financial measures contained in the company's earnings release. On this morning's conference call, we're joined by Peter Carlino, Chairman and Chief Executive Officer; and Bill Clifford, Chief Financial Officer of Gaming and Leisure Properties, Inc. Also joining are Steve Synder, Senior Vice President of Development; Desiree Burke, Chief Accounting Officer; and Brandon Moore, Senior Vice President, General Counsel and Secretary. Now I would like to turn the call over to Peter Carlino. Peter?
Peter Carlino: Thanks very much Kara and thanks you saved me all the introduction as I look around the table. Well, good morning everyone and welcome to our third quarter call. We had a predictable, to find exactly the right and most exciting – and to describe our quarter so predictable I think in the REIT world is probably the strongest, a good quarter. The principle activity over this last quarter of course has been some process through our clinical Pinnacle transaction which I’m pleased to report that it continues to be going well and seems to be on pace for the timeline previously outlined and we’re of course quite excited about that and pleased to get that done. Beyond that I think we’re best served by getting straight to your questions, Bill unless you have preliminary comments or anyone else. Then why don’t we open the floor questions, I think that will be most effective.
Operator: [Operation Instructions] The first question we have comes from Steven Wieczynski from Stifel, please go ahead.
Steven Wieczynski: Good morning guys. Obviously a lot of news out there in the gaming well today with MGM. So I guess maybe, kind of talk about how you see a potential another candidate at this point in your gaming world and I guess given the acquisition flow has – it has been a little bit tough then maybe you would have expected as you made this deal, how are you going combat somebody else that they’re looking at very similar assets?
Peter Carlino: I don’t think we look at it that way at all and of course we’re happy that we’re scaling with Pinnacle. It’s not clear, certainly not clear to me Bill will step and others may well opine, precisely what they’re doing, it doesn’t appear to be a transaction similar to us or maybe similar has been closest where you can get as not identical by any means. I don’t think we’ve had a chance to really understand it. But Bill why don’t you.
Bill Clifford: Yes. I read the press release this morning, I did not listen to their call so they may well have provided significantly more information then what I think is covered in their press release. To be honest there are some things that I don’t really understand that well based on their press release. It looks to me like they’re creating, they’re basically doing a corporate restructuring where they’re going to create real estate division within their company and IPO it out, but I think, I’m going reserve any further comments until I really get a better chance to understand and maybe look through some other materials or listen to their call to help me understand exactly what they’re doing, I’m a little confused to be honest but that’s probably just natural. So, I think we leave with that. I mean, relative to going forward, I think the question really will be how will they trade and how do we trade and to that extent who is going to have an advantage relative to the other on a cost to capital basis. Obviously they have some very nice assets in their portfolio, they’ve also got a lot of maintenance CapEx and they’ve got a lot of other issues and one of which is I’m not sure that they’re actually going to be a tax free entity. But again, before I get to that I think I got to do some more work and some more diligence. But I think the bottom-line any case is I don’t find – something we find it remotely threatening, it might even help call some attention to the space and to the comp. So, we’ll have to say that’s kind of a – the best answer we can give you right now.
Steven Wieczynski: Okay, got you guys, thanks for the color there and then two more quick questions. I guess, one just, can you give us an update in terms of what you’re seeing out there in the operating environment, obviously we’ve seen a lot of other gaming companies essentially reporting pretty good numbers at this point. So maybe you can give an update there and I know in the release you talked about still closing the Pinnacle deal in the first quarter and I guess at this point you only have the Mississippi as the one approval that you do have. So, can you give us an update too in terms of when the other States you think you’ll get those approvals? Thanks.
Peter Carlino: Brandon, do you want to comment?
Brandon Moore: Right so we did receive approval for Mississippi. We here are gaming major properties don’t require the same number of approvals as the Pinnacle folks and I am sure they are discussing on their call today where they stand. We are working closely with them. I’d say we expect to have additional States to put this on their agendas in the next month or two and certainly in the quarter of next year. We have done a lot of work to educate them on the transaction, we have appeared in front of the staffs and the commissions and a couple of instances we’ll be appearing in front of the Indiana commission next or the second week of November. And so, I think at this point that process is going about like we expected it to go and don’t have any reason to be at the moment that there will be any delay caused by the regulatory process.
Peter Carlino: Relative to – there will be an implication on the S4 that we filed obviously before the restatement that we announced previously. We will have to file an amended S4 as soon as we have completed filing our amended Ks as well as the Qs from this year and we are still at least as we headed today we are very confident that we are going to hit our targeted deadline of keeping the third quarter filing and the amendments will all get done on time and will be timely relative to our November 9th deadline.
Steven Wieczynski: Okay great. Thanks guys appreciate it.
Peter Carlino: On the, I guess regional gaming operation. Look we have great visibility in the two properties. One in Prairieville, one in Baton Rouge I’m not exactly sure that they’re good though whether for what’s going on the rest of the country having said that I think one of our properties is doing well, continuing to be strong. The other one has had a little bit of weakness so I have characterized that as a mixed bag and that’s kind of what I think we are seeing. I mean relatively going forward it feels very much like it’s steady Eddy that what we have been seeing over the last several quarters I would expect to continue, we don’t see any indications of anything other than that but obviously we don’t have the same kind of visibility that other gaming companies have. Obviously I am looking at the same number as you are looking at and I don’t see anything that causes me to be discouraged around what’s happening in the regional gaming market at all, perhaps I am pretty optimistic.
Bill Clifford: Yes, I think that looking around the table I think most of us agree that things seem okay.
Steven Wieczynski: Thanks guys appreciate it.
Operator: [Operator Instructions] [Indiscernible]
Unidentified Analyst: Question was just answered thank you very much.
Operator: [Operator Instructions]
Peter Carlino: Well this may set all time record. We’ll wait just another moment but look I think if I have to leave you all with one thought it is that things aren’t moving along as we would have hoped in pretty much every category. The Pinnacle transaction is clearly the most critical for us right now and as reported I think everything seems to be on track. So if we don’t have any other questions we are always available by phone and we will see you all next quarter.
Operator: We do have one question. All right it’s from George Smith of Davenport.
George Smith: Okay. Sorry to keep you.
Peter Carlino: No it’s all right. That’s what we are here for. This is – you may ruin our record of the shortest call in history but –
George Smith: No we are still going to hit. Just wondering if we have given any more thought to financing for the deal and the mix of debt and equity may – more use of debt to get this done?
Peter Carlino: That’s a fair question, Bill is going to –
Bill Clifford: Obviously going through the history when we initially made our announcement around Pinnacle we talked about doing six times leverage. We got some feedback from the rating agencies that they would be unfavorably disposed if we were go to six. When we came out with the announcement and we said five and a half and that was based on some analysis we had done, some assumptions we had done relative to understanding what the impact would be on the accretion. We recognized at the time that the accretion on AFFO per share would still be battered at six and five, but it was really kind of a pretty too close to call and obviously some of our assumptions have since then proven to be not exactly where we thought they were going to be relative to stock price and also quite candidly what we thought would happen with bond pricing. Now, we are not planning to go any higher than 6 times but even as we sit here today obviously our stock price is not exactly where we would like to be nor do we think this is where it should be. But we are going to evaluate our options going forward and certainly we will be making that call probably in January or February which is an eternity from now and based at that point in time will have a much better read on where the market is, where the REIT world is, the evaluation of our stock. And we will make a determination at the time whether we will increase the leverage. I don’t believe that we have any intentions or any prospects of taking leverage higher than 6 that basically the ceiling that we step for ourselves that gives the VAT return and could in fact mean roughly 400 million less equity if we go down that path. We also looking at a combination of some other I will call it more sophisticated instruments called mandatorily convertible preferred equity that might also help take off some of the pressure of the overhang relative to the moving forward we will make those calls probably in the next few weeks then will create, basically come to a game time decision as to which combination makes the most sense. We are very focused on how do we do this in a way that’s the most accretive and the best answer for our shareholders. Stay tuned is basically all I can say on that level.
George Smith: Okay thanks very much.
Peter Carlino: Any further questions.
Operator: No sir, we have no further questions at this time.
Peter Carlino: Okay. Well then, I thank you all for tuning in and we will look forward to talking with you next quarter. Have a good holiday. Thank you.
Operator: And we thank you sir and to the rest of the management team for your time today, the conference call is now concluded. At this time, you may disconnect the line, thank you and take care everyone.